Operator: Good afternoon, ladies and gentlemen, and welcome to the Stryve Foods, Inc. First Quarter 2024 Earnings Call. on the presentation, we will conduct a question-and-answer session. [Operator Instructions]. This call is being recorded on Tuesday, May 14, 2024. I would now like to turn the conference over to Mr. Weil. Please go ahead. 
Luke Weil: Thank you, operator, and welcome to the Stryve Foods' Fiscal Year 2024 First Quarter Earnings Conference Call. With me today are Stryve's Chief Executive Officer, Chris Boever; and Chief Financial Officer, Alex Hawkins. Before we begin, I would like to remind everyone that partner discussion today will include forward-looking statements that are made pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements, by their nature, are uncertain and outside of the company's control. Actual results could differ materially from these expectations. These statements are not guarantees of future performance, and therefore, undue reliance should not be placed upon them. We do not undertake to update these forward-looking statements at a later date and they only refer to today.   In addition, today's call will include a discussion of non-GAAP financial measures, including adjusted EBITDA and adjusted EPS. Nonfinancial measures should be considered as a supplement to and not a substitute for GAAP financial measures. We refer you to the reconciliation of non-GAAP to the nearest GAAP measure included in today's earnings press release refer to detail. This call is being webcast and can be accessed through audio link on the News and Events page of the Investors section at ir.stryve.com. Also, the earnings press release is posted on our website, and a copy of the release has been included in the Form 8-K submitted to the SEC. With that, I would now like to turn the call over to Chris Beaver. Chris? 
Christopher Boever: Thanks, Weil. Good afternoon, and thank you for joining us today. The first quarter of 2024 marks the next phase of transformation for Stryve Foods. With the significant improvements we have made on cost, capabilities, process and quality mostly behind us. We are excited and energized about the future. We are executing the strategy, supporting our vision to redefine the snacking category with healthier, high-protein solutions that meet the evolving needs of today's consumers. This quarter, we've seen significant progress in several strategic areas that are vital to our growth and operational efficiency. A standout achievement has been the success of our new packaging initiative, which has been instrumental in driving the exceptional year-over-year improvements in our retail velocity. The consumer response to our new packaging is exceeding our expectations. We are experiencing velocity improvements on each of our 3 brands with the Stryve brand leading the way. Retail sales velocity for the Stryve brand, as measured by SPINS data ending March 24, has increased at an accelerated rate, up 24.7% over 24 weeks, up 35.7% over 12 weeks and up an amazing 51% over 4 weeks.   Retail velocity is an important metric, capturing the rate of sales per point of distribution. We are greatly exceeding the performance of the category, showcasing the shelf presence, consumer appeal and market fit of our new and improved packaging design. As of now, we believe that the transition to the new packaging is a little over halfway complete on retail shelves. This ongoing rollout and supporting data will play a critical role in our ability to secure additional distribution. The positive reception and improved shelf presence has bolstered our position in the market, allowing us to expand our reach and enhance consumer engagement while earning more market share. Moreover, we've achieved considerable improvements in the quality of our products through enhancements to our manufacturing processes. These changes have elevated the consumer experience, ensuring that our products not only look appealing on the outside, but also consistently deliver on taste. We are gaining new users with our strategic position. And with our improved product quality, our confidence is high that repeat levels will also be high, ultimately fueling stronger velocities and brand loyalty. Alongside these product and packaging advancements, we have continued to drive efficiencies and productivity throughout the organization.   Our focus on operational excellence has allowed us to optimize resources, reduce waste and improve our overall cost structure. These efforts collectively contribute to our performance this quarter and set a strong foundation for growth and ultimately, profitability. Our strategy will focus on leveraging the momentum we have built. We aim to fully capitalize on additional distribution channels as a result of our improved retail performance. By increasing our distribution footprint, we not only expand our reach, but we also enhance our ability to positively impact the highly expandable meat snack category. I am pleased to share we have regained a rotation for the Vacadillos brand at Costco Southeast division, which is now available in the warehouse clubs. Early indicators are positive, demonstrated by once again strong velocities. As we look to the future, we have built a robust innovation pipeline that will further leverage our capabilities and capacity to enable even greater brand and category expansion. Certainly, there will be more to share on this front in the future. Operational excellence will remain a cornerstone of our strategy.   The efficiencies we've driven in our manufacturing processes will be built upon to ensure that we can scale effectively while managing costs. Our commitment to continuous improvement will involve further investments in technology and processes that enhance our agility while expanding margins. In summary, our strategy is centered on execution, growing our core, supported by operational excellence. These pillars will drive our performance in the near term and position us for future success in the evolving category and industry. Our goal is clear: to continue to deliver exceptional value to our consumers, partners and shareholders, while leading the way with the most highly differentiated, best tasting products, the better-for-you protein snacking category has ever experienced.   With that, I'll turn it over to our CFO, Alex Hawkins. Alex? 
R. Hawkins: Thanks, Chris. Good afternoon, everyone. I'm pleased to provide a detailed overview of our financial results for the first quarter of 2024, which reflect both our strong operational execution and strategic focus. This quarter, we reported net sales of $4.6 million. While this represents a slight decrease of approximately 1% compared to the same period last year, it is important to recognize the significant strides we have made in terms of profitability and market penetration. The marginal change in net sales was largely attributed to our strategic decision to enhance product quality and packaging, which initially slowed some of our traditional sales channels but have set the stage for enhanced performance as these initiatives continue to gain traction. Additionally, the prior year period was benefited by a temporary display program that we elected not to pursue in 2024 as we have targeted our efforts towards securing more permanent distribution points and making better decisions with respect to how and when we look to promote our products. Ultimately, the increased sell-through of our products driven by our packaging enhancements and improved product quality as well as some of the new distribution we have secured, largely made up for the display program and with more attractive unit economics.   Our gross profit was $1.2 million for the quarter, with a gross margin of 22.1% compared to $0.96 million in the prior year period with a gross margin of 20.7%. This improvement is a direct result of our focused efforts on influencing product price mix, manufacturing efficiencies and cost management, which have allowed us to better leverage our resources and reduce cost per unit. This result is even more meaningful given that prevailing beef prices for the quarter were considerably higher this year than they were in the year ago period. But despite that dynamic, our transformation efforts still showed an improved gross margin. We do expect to see some continued volatility in beef prices for the future. However, so far in the second quarter, we're experiencing a welcome REPREVE and hope to see that trend continue. Either way, we stand ready to respond strategically as we have shown we can do in the past. Operating expenses for the quarter were $4.0 million, down 22.7% from the year ago period and down approximately 52% from the same period 2 years ago. This is consistent with our transformation strategy and that we are continuing to find ways to pull cost out of the system and position ourselves for operating leverage as we scale with improved unit economics.   Consequently, our operating income showed a significant reduction in losses, improving to a $3 million operating loss as compared to a $4.2 million operating loss in the same quarter last year. This 29% reduction in operating loss underscores our progress in optimizing our operational effectiveness and driving towards profitability. Our net loss for the first quarter was $3.9 million, which is a marked improvement from $4.6 million in the prior year period. In the first quarter of this year, we extended maturities of certain bridge notes put in place last April. As part of that extension, certain warrants associated with those bridge notes were modified and the accounting treatment for such modification was a onetime noncash charge to other expense of $0.3 million in the current year period.   Accordingly, our EBITDA loss on an adjusted basis for the first quarter of 2024 represents our best quarter ever at $2.3 million as compared to the adjusted EBITDA loss of $3.5 million in the year ago quarter. That's a 35.2% reduction in our adjusted EBITDA loss on a year-over-year basis on roughly the same net sales figure. Our transformation efforts are working, and we expect to continue to see the benefits of those in the quarters to come. This performance is indicative of the underlying strength of our business model and the success of our strategic initiatives. These results provide a solid foundation for sustained progress in our path to profitability and support our optimistic outlook for the remainder of the year. In assessing our balance sheet at the end of the first quarter of 2024, it's important to recognize that financial prudence we're exercising during this critical phase of our turnaround strategy. Our cash position is currently at approximately $0.4 million. This reflects a carefully managed liquidity strategy, emphasizing stringent cash conservation as we navigate through significant operational enhancements and the strategic realignments which are now bearing fruit. Our liquidity constraints are being actively managed with rigorous controls on expenditure and enhancements in operational efficiency to extend our financial runway.   Additionally, we previously announced the closing of $1.6 million in convertible bridge notes last month, which we believe, along with our recently extended line of credit, have provided us with the ability to manage day-to-day operations in the near term and the near-term working capital ramp required by the success we're seeing in the market from our packaging. As we continue to navigate through these challenging financial conditions juxtaposed by our brand's success at retail, our focus is on strengthening our balance sheet through careful cash management, prudent expense control and strategic financial planning. This disciplined approach is crucial as we work towards strengthening our financial position and ensuring long-term sustainability and growth. As we look forward to the remainder of 2024, acknowledging the currently liquidity constraints we face, we are still committed to achieving our strategic goals and financial targets. For the fiscal year 2024, we are reiterating our guidance for net sales. We project net sales to be in the range of $24 million to $30 million. This guidance is based on several factors, including the anticipated full rollout of our new packaging, expected improvements in retail velocities and the execution of our capital plans. These factors are expected to drive increased sales volumes as the year progresses. We are rigorously controlling expenditures and optimizing operational efficiencies to ensure that our financial resources are aligned with our strategic priorities. This includes continuous efforts to improve our cost structure, enhance our manufacturing processes and manage our inventory more effectively.   While we are navigating through a period of significant financial prudence, our strategies are designed to lay the foundation for sustainable growth and improved profitability. As we execute on our strategic initiatives and as our new packaging continues to gain traction in the market, we expect to see gradual improvement in our financial performance to an ultimate breakeven point with the requisite volumes. We are optimistic about our ability to meet these targets and are committed to driving value for our shareholders through this disciplined financial management and our strategic growth initiatives. With that, I'll turn it back to Chris, our CEO, to share more about our strategic vision and the exciting opportunities ahead for Stryve. Chris? 
Christopher Boever: Thank you, Alex. This quarter has been marked by significant enhancements across our operations, demonstrating our commitment to cost management. As we layer in growth, we will leverage our lower-cost network, leading us to a profitable outcome. These operational improvements are pivotal to our strategy for sustained growth and enhance shareholder value. This quarter, we delivered solid results driven primarily by significant improvements in our packaging and product quality. The sales team has been upgraded with experienced leaders and stronger broker partners. I fully anticipate an acceleration of growth in the coming quarters. The protein snack category continues to evolve with increasing consumer demand for healthier and more sustainable options. We anticipate category growth driven by evolving lifestyle trends and a greater emphasis on protein, health and wellness. Our products are well positioned to meet these changing consumer demand, thanks to their high nutritional value and alignment with current dietary trends, most notable reduction of sugar and free of preservatives.   In conclusion, the outlook for Stryve Foods is optimistic. We are on a solid path to equipped with the right strategies and ready to capitalize on the opportunities ahead. We are excited about what the future holds and believe that our focused approach will lead to accelerated growth and profitability. With that, I'd like to turn it over to the operator for Q&A. Operator? 
Operator: Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions]. Our first question comes from the line of Mike Grondahl from Northland Securities. 
Mike Grondahl: Could you talk a little bit more about getting Vacadillos back in Costco? I think you said a Southeast division. And the reason I'm asking is, a couple of years ago, you guys got into Costco and it was highly promotional. And you can argue maybe it wasn't priced appropriately. Can you just talk about Vacadillos getting into that region? And what you think pricing is going to look like and how you think this time around is maybe improved? 
Christopher Boever: Yes, Mike, thanks for the question. Look, it's been a long patient and consistent journey but getting our unit economics actually accurate, right and positioned properly, then puts us in a position to now engage with a customer such as Costco to be able to deliver a complete solution that is priced properly for all parties to win. Their club member, certainly Costco and as well Stryve this time. So we've designed a program to give us an opportunity to show the great attributes that the Vacadillos brand has to the Costco shopper in that region. We have ongoing discussions with other regions. We have some early indicators. We just went in the first week of May. So we're just basically seeing some of the early results and velocities are very strong. So the pricing, the proposition, the value is tremendous for all, and we feel this is a win-win-win, and it's something that we can repeat not only in that division, but other divisions as we gain momentum. 
Mike Grondahl: Got it. And then maybe just a follow-up question. Chris, what 2 things give you the most visibility on the revenue ramp the rest of the year? Is it like the improved packaging, the expansion of the distribution footprint, expectations for repeat business or repurchases? I mean what are the top 2 things that you are looking at that gives you comfort revenues are going to ramp? 
Christopher Boever: Thanks again. First and foremost, it's velocity. In all my 35-plus years in the industry, I have never seen a velocity spike like I have from a package change that we're experiencing. Now all 3 brands are all accelerating velocity, but the Stryve brand went through the largest renovation and we're seeing the largest increase in per point of distribution that's going from a velocity standpoint, significantly higher. In fact, as a result, it's creating many opportunities but with opportunities come challenges. So we were taken a bit by surprise as to the speed and the immediacy of the velocity improvements. And therefore, we've had to pivot and catch back up. So ultimately, our shipments probably are a little bit below where consumption is and we're catching up this quarter on that. So very, very optimistic. So much so that customers that we see direct leads from it's over 100% improvement in velocity on a like-to-like basis which obviously will drive new discussions around expanding that distribution either more stores within that retailer and/or more stores in the marketplace. So with that data comes a lot more fact-based category solutions that we can provide to the broader marketplace.   Secondly, we've gotten our pricing pretty much positioned properly now after several rounds of pricing that we took over the last 20 months since I've been here. So I feel good about where we're at from a price and value perspective. We're being smarter and sharper about our promotional tactics that we participate in and ensuring that they're a good investment with a good return on it. And then lastly, the next thing that's going to drive a lot more growth for us and compound that velocity will be expanded distribution. As you know, we're a pretty lowly penetrated brand. We've got lots of white space to capture distribution. And with that, lower penetration should drive significant improvements in our growth outlook, not even diluting the velocity and where we're currently at because we're still such a new business, if you will. So I think all those things compounded. And when we get new people to try the product for the first time, the experience that they're going to get with the new and improved quality that we've unlocked is just exceptional.   So we believe repeat levels are going to be an all-time high for our brand, which were already pretty decent from our experiences that we've had in our early days online, where we can see subscriptions and consumer engagement and repeat, et cetera, et cetera, from our online business. But to see the actual velocities top like they have as quickly. We know new consumers are coming into the franchise, trying us for the first time, and we are very confident that the quality and consistency that they're going to experience now is the best that we've ever delivered, and we think the category has ever seen with 50% more protein than the leading jerky, which is the #1 reason consumers come to the category, delivering with total convenience and portability with no preservatives and very little to no sugar, depending on which variety you're selecting gives us incredible amount of confidence that the taste, the consistency and the positive experience will yield repeat purchases and stronger brand loyalty. So we're very optimistic now and I'm excited about what the next phase is going to be to be able to go out now and confidently back base-wide drive a complete category solution for our retail partners. 
Mike Grondahl: And maybe last question for Alex. Alex, you did these bridge notes in the quarter, can you finance keep this going as the revenue ramp supply the working capital that's needed. Just some insight on your comfort with being able to do that? 
R. Hawkins: We don't have the installed borrowing capacity today to fund the full working capital ramp that's going to be required for us to hit what we know is coming. Like Chris said, this has happened, the velocity has happened quickly. We're catching back up. A lot of the way that we're going to see growth is through new distribution, and that can tend to be lumpier growth, where you have a distribution reset and all of a sudden, you're shipping to a significantly more amount of stores, which requires a significant bump in your inventory. So the way our existing line of credit works today, it doesn't tie to that exactly. And so we will need to bring in some amount of capital. These convertible bridge outs are an example of that. And we're going to continue to look for ways to in the most prudent way possible with at least amount of dilution possible fund our business to get to a self-sustaining model once we have the requisite volumes for that. But can we finance it today off of our existing facilities? No, we can't. They'll need to do some third-party infusion, whether it's additional convertible bridge notes or something else. I think that's evident in the guidance that we're giving and the balance sheet as we have it today. 
Mike Grondahl: And to execute on this through the end of '24, do you have a rough range of what's needed? 
R. Hawkins: We do. We haven't disclosed that publicly right now, and we hope to provide some updates on that in the near future. 
Christopher Boever: One thing we've done exceptionally well is always find a solution. And we are actively working on solutions that's going to continue to fuel this really positive momentum that we've created to really delight the consumers fulfill and meet and exceed our customer expectations and deliver for our shareholders. One thing we've always done since I've been here, is find a way to certainly close those gaps on an as-needed basis in the most prudent and efficient and scrappy and effective manner. So rest assured, that's on our hit list of things to accomplish in the coming periods, and we fully expect to be able to continue to drive this momentum now that the marketplace is very excited about. 
Operator: [Operator Instructions]. There seems to be no further questions at this time. I'd now like to turn the call back over to Mr. Boever for final closing comments. 
Christopher Boever: I certainly want to express our gratitude to all of our stakeholders for their continued support and belief in Stryve Foods. As we've discussed today, we are making substantial progress across all fronts from operational improvements to strategic market expansion and certainly financial discipline. We remain dedicated to delivering on our promises, driving value for our shareholders and exceeding the expectations of our customers. We are very enthusiastic about the future of our company, and I look forward to sharing our continued progress in the upcoming quarters. Thank you once again for joining today's call. Eat stake. Don't be a jerky. Thank you. 
Operator: Thank you, sir. Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines. Have a lovely day.